Operator: Good afternoon, and welcome to the Evolv Technologies Second Quarter Earnings Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Brian Norris, Senior Vice President of Finance and Investor Relations for Evolv Technology. Please go ahead, sir.
Brian Norris: Thank you, Megan, and good afternoon, everyone, and welcome to the call. I'm joined here today by John Kedzierski, our President and Chief Executive Officer; and Chris Kutsor, our Chief Financial Officer. This afternoon, after the market closed, we issued a press release announcing our second quarter 2025 results and our business outlook for the rest of the year. This press release has been furnished with the SEC and is available on the IR section of our website. During today's call, we will make forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements may relate to our current expectations and views of future events, including, but not limited to, statements regarding our future operations, growth and financial results, our potential for growth and ability to gain new customers, demand for our products and offerings and our ability to meet our business outlook. All forward- looking statements are subject to material risks, uncertainties and assumptions, some of which are beyond our control. Actual events or financial results may differ materially from these forward-looking statements because of a number of risks and uncertainties, including, without limitation, the risk factors set forth under the caption Risk Factors in our annual report on Form 10-K for the year ended December 31, 2024, filed with the SEC on April 28, 2025, and our quarterly report on Form 10-Q for the 3 months ended June 30, 2025, filed with the SEC earlier today. Forward-looking statements made today represent our views as of August 14, 2025. Although we believe that the expectations reflected in these statements are reasonable, we cannot guarantee that future results, performance or the events and circumstances reflected in our forward-looking statements will be achieved or will occur. Except as may be required by applicable law, we disclaim any obligation to update them to reflect future events or circumstances. Our commentary today will also include non-GAAP financial measures, which we believe provide additional insights for investors. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. These measures include adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted operating income, adjusted EBITDA and adjusted EBITDA margin as well as adjusted earnings and adjusted earnings per diluted share. Reconciliations between these non-GAAP measures and the most directly comparable GAAP measures can be found in our press release issued today. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. We will be discussing key operating metrics such as annual recurring revenue, or ARR, and remaining performance obligation, or RPO, each of which we believe is helpful to investors in understanding the progress we are making as a business. Please be advised that as of January 1, 2026, we will no longer be disclosing units shipped, a metric we no longer believe is consistently indicative of our prospects and could cause confusion due to the growing activity related to: one, short-term subscription contracts; and two, upgrades to new equipment with new 4-year subscriptions. Neither of these important activities, which are revenue generating, actually add to our deployed unit count. One last item. We have an active IR schedule coming up, highlighted by the Craig-Hallum Alpha Select Conference in New York in November and the UBS Technology Conference in Scottsdale in December. For more information, please contact me at bnorris@evolvtechnology.com. With that, I'll turn the call over to John. John?
John Kedzierski: Thank you, Brian, and thanks to everyone for joining us today. Over the past few quarters, we've been focused on stabilizing the business, addressing our cost structure and implementing enhanced controls and process improvement. On our last call, we spoke about those foundational steps. Since then, we've taken 2 more meaningful steps forward. First, as previously reported, in November 2024, the company received a voluntary document request from the U.S. Attorney's Office of the Southern District of New York, a division of the U.S. Department of Justice. I'm pleased to report that in a letter dated August 7, 2025, the DOJ informed Evolv that the company is no longer the subject of a DOJ investigation. Second, on August 5, 2025, the parties in the previously reported securities class action lawsuit pending in the District of Massachusetts engaged in mediation and reached a settlement in principle, which will be primarily funded by our D&O insurance. This settlement is subject to negotiation of definitive documentation and court approval. Our direct financial exposure is expected to be no more than $1 million, which represents the deductible under one of our applicable D&O insurance policies. With these 2 matters now largely behind us, we are fully focused on our goal of building a durable, high-growth business with highly predictable results. The operational changes we've made over the past 6 months, together with key leadership transitions are beginning to show results. As we enter the second half of the year, we're making meaningful progress in driving more consistency and stability across the organization. That said, we know there's more work to do. Our focus remains on disciplined execution and continuing to raise the bar in our workmanship to meet the high standards we set for ourselves. Before we dive into the results, I want to share an update about the leadership team. I want to take a moment to share the news that Mike Ellenbogen has made the decision to step down as an active employee next month. Mike will remain a trusted adviser to me. He will remain an important member of the Board of Directors and a significant shareholder. No one will be rooting more passionately for the continued success of Evolv Technology in the years ahead than Mike. In discussions with Mike, he shared with me that he feels this is the ideal time for his transition. The company has successfully resolved many of the challenges it has been grappling with over the last several years and has strong confidence in the new management team and the long-term direction of the company has reinforced his decision. True to his entrepreneurial spirit, Mike will be pursuing a new venture outside of the security industry. We look forward to seeing him thrive in this exciting next chapter. We owe Mike a huge thank you for his visionary leadership, relentless dedication and the lasting impact he has made on the company and the industry. Over an extraordinary career spanning more than 3 decades, Mike has been a pioneer in the physical security space and of course, a driving force in the creation of Evolv Technology in 2013. His contributions have laid a strong foundation for our future, and we look forward to continuing to benefit from his insight and guidance as he embarks on this exciting new chapter. With that, let's dive into our second quarter results, which reflected growing momentum across the business. Revenue was $32.5 million, up 2% sequentially and 29% year-over-year. This reflects strong new customer growth as well as expanding deployments in our installed base. Annual recurring revenue, or ARR, at June 30, 2025, was $110.5 million, reflecting growth of 27% year-over-year. We reported our third consecutive quarter of positive adjusted EBITDA with adjusted EBITDA margin of 6% in Q2 '25. Total cash, cash equivalents and marketable securities was up $2 million sequentially in Q2 '25 to $37 million compared to $35 million at the end of Q1. This is the first quarter we have reported a sequential increase in total liquidity, which reflects the significant steps we've taken over the last 9 months to reduce our cost structure, improve overall corporate efficiency, optimize inventory levels and strengthen collections activity. There's more work ahead, but it's a clear sign of progress. We welcomed over 60 new customers in the second quarter and now serve over 1,000 customers globally. We've also recently surpassed 7,000 active subscriptions, well on our way to delivering on our goal of at least 8,000 active subscriptions by the end of the year. This continues to represent a very small slice of the hundreds of thousands of entrances that can be protected by AI-based weapons detection. We continue to screen on average, over 3 million people every day and have now surpassed 3 billion people screened by Evolv Express. More importantly, our technology is being used by our customers to tag on average, approximately 500 firearms every single day. We continue to see signs of progress and renewed momentum across the business. In the second quarter, approximately 54% of our booked units and 56% of our booked ARR came from existing customers, continuing a trend we've seen consistently over the last 12 to 18 months. These are organizations that have deployed our technology, seen it work in real-world environments and are choosing to expand their investment. That ongoing pattern is one of the strongest signals of customer trust and the value we provide. We continue to see early signs of customers upgrading to our Gen2 Express platform, often before their initial Gen1 contracts are set to expire. These upgrades generally include new 4-year commitments, increasing customer stickiness and expanding RPO. In fact, of the nearly 200 existing customer units that were actioned in the first half of 2025, the vast majority included an upgrade to Gen2. Unlike standard renewals of existing equipment, upgrading to Gen2 generally resets the 4-year subscription term and customer commitment. Together, upgrades and renewals reflect strong customer satisfaction and growing confidence in Evolv's technology road map. eXpedite, our autonomous AI-based bag screening solution continues to build strong momentum since its launch in Q4 '24. We added 8 more eXpedite customers in Q2 '25, bringing the total to 20 customers since launch. Demand for eXpedite has been encouraging here in Q3, including 1 order for over 100 systems. We believe eXpedite has the potential to drive broader customer adoption and enhance the stickiness of our subscription model. By leveraging the combined platform of Express and eXpedite, customers can run their security operations through a single cloud portal and device, delivering a seamless, superior experience for visitors and operators while becoming an indispensable part of their daily operations. While we're still early in the product introduction cycle and haven't yet reached the full cost efficiency that comes with scale, early demand signals have been encouraging. Let me turn to the trends we're seeing in our end markets, starting with education. We continue to see larger school districts phase deployments across multiple quarters, which means major wins often show up gradually in our ARR and deployed unit counts. We are encouraged with the growing interest we are seeing in eXpedite across the education market, which we believe is an excellent use case for bag screening. In Q2, we expanded our presence in the education market by approximately 20 new school districts across the U.S., spanning urban, suburban and rural communities. These included 4 new districts in Georgia, 4 in North Carolina, 3 in California, 2 in Texas and 1 each in Alabama, Illinois, Indiana and Pennsylvania. Collectively, these districts serve hundreds of thousands of students. As these districts prepare for the upcoming school year, we're honored to support their efforts to create safer learning environments for students, educators and the broader community. We're excited to share an important Q3 update in the education market. Just last week, we secured a $15 million contract to provide our AI-based security screening solutions to Gwinnett County Public Schools, Georgia's largest school district serving approximately 180,000 students. We will keep investors up to date on this exciting deployment. In healthcare, Evolv is making meaningful strides in transforming hospital safety. Our concealed weapons detection technology is helping hospitals enhance security without compromising the patient experience. A few recent wins in this market include: Ohio State University Wexner Medical Center, a nationally ranked academic health system based in Columbus, Ohio. It comprises 7 hospitals and more than 100 outpatient sites with over 22,000 employees and 1,400-plus staffed beds. Virginia Mason Franciscan Health, a nonprofit health system serving Washington's Puget Sound region, including Seattle and Tacoma. The system includes 11 hospitals and nearly 300 care sites supported by more than 18,000 team members. Broward Health is one of the largest public hospital systems in the United States with 7,500 employees serving South Florida through 4 hospitals, a children's hospital and an extensive network of outpatient and community care facilities. These wins reflect the growing demand among the health systems for smart, more seamless security solutions that can help foster peace of mind for patients, visitors and frontline staff alike. And establishing footholds in each of these leading institutions is a positive first step in what we hope will become long and enduring relationships. Shifting to sports and entertainment. Momentum continued to grow in the second quarter, both in terms of new wins and meaningful renewals and upgrades with some of our earliest customers. We secured a marquee win with Inter Miami CF, where we were selected for Miami Freedom Park, the team's brand-new state-of-the-art stadium opening in 2026. The club will deploy both Evolv Express Gen2 and Evolv eXpedite, underscoring the flexibility of our platform across entrance types and crowd flows. Other new customers included FC Cincinnati, another fast-growing Major League soccer franchise with strong fan engagement and 2 NBA training facilities, the Philadelphia 76ers Training Complex and the Henry Ford Health Pistons Performance Center, the Detroit Pistons cutting-edge training and business facility. We also played a key role in securing and executing the FIFA Club World Cup 2, delivering over 100 systems under a short-term subscription contract to support more than 30 sites and more than 60 matches. On the renewal front, within sports and entertainment, we had a strong quarter with several long-standing customers who upgraded to Gen2 and signed new multiyear contracts. These include: Nissan Stadium, home to Tennessee Titans; Gillette Stadium, home of the New England Patriots and the New England Revolution; and Lower.com Field, home of the Columbus Crew. We believe these upgrades reaffirm our value in securing high-traffic sports venues and our ability to scale with our customers over time. In the arena and entertainment space, we've expanded our footprint through our partnership with ASM Global into 3 venues, including: Barclays Center, home to the Brooklyn Nets; and the WNBA Champion, New York Liberty; and one of the premier multipurpose arenas in the country. Finally, rounding out a look at some key end market progress, we secured a significant win with a Fortune 50 company that is deploying Evolv's technology across a set of its high-traffic industrial distribution facilities as well as in their corporate headquarters. The customer is focused on enhancing employee safety while minimizing disruption to daily operations. It marks a strong foothold in the industrial workplace segment and opens the door to broader enterprise-wide expansion over time. Collectively, these wins and deployments highlight our growing presence across multiple verticals and geographies and reinforce the strength of our platform in high-volume, high-visibility environments. I want to shift and share a few thoughts on our go-to-market model. We have traditionally offered 2 ways for customers to deploy our technology, a full subscription model where we retain ownership of the equipment and lease it to customers alongside a 4-year subscription for the software that operates it and a purchase subscription model where customers buy the equipment either directly through us or through our distribution partner and then enter into a 4-year software subscription with us to operate the equipment. Having reached key profitability milestones and having secured a new credit facility, we believe now is the right time to shift purchase activity back to direct fulfillment as opposed to distribution fulfillment. Express Gen2's capital efficiency and Evolv's improved financial foundation make this the right long-term move for shareholders. For customers that want to own the equipment, direct fulfillment under our purchase subscription model offers us clear advantages over the contract term, higher revenue, higher lifetime value, greater cash flow and most importantly, higher ARR on a per unit basis compared to distribution fulfillment. This model also positions us better during renewal cycles with higher renewed ARR, which continues to compound over time. While this change creates a year 1 gross margin headwind because we recognize the full system cost immediately, it is a trade-off we can now make with the lower Gen2 cost of goods sold. However, over time, we expect our ARR will grow faster than it would if we kept operating fulfillment through distribution. This shift also simplifies how customers do business with Evolv since it requires just 1 purchase order with Evolv instead of 2, including the distributor. We expect this change will strengthen relationships, improve deal velocity and give us more control over pricing and service, driving sustainable growth and profitability. Going forward, there will be 2 sales motions, pure subscription and direct purchase subscription, both of which we believe offer superior economics for shareholders compared with the distribution subscription model. This positions us for stronger, more profitable growth in the years ahead. Before I turn things over to Chris, I want to briefly share some context on our outlook. Based on the momentum we're seeing in the business, the growing backlog we have built and the strength of larger multi-quarter opportunities that are progressing in our near-term pipeline, we are raising our outlook for 2025. We have strong visibility into the key drivers of our business and remain confident in our ability to deliver on our 2025 goals and to accelerate sustainable growth beyond this year. We now expect to grow revenue by 27% to 30% this year compared to our previous guidance of 20% to 25% growth. We continue to expect to deliver positive full year adjusted EBITDA. We remain committed to generating positive cash flow in Q4. With that, I'll turn it over to Chris, who will take you through our financial results and the details behind this upwardly revised outlook.
George Chris Kutsor: Thanks, John, and good afternoon, everybody. I'm going to review our second quarter results in more detail and then walk through our thoughts on the rest of the year. As John mentioned, revenue was $32.5 million, up 2% sequentially and 29% year-over-year. These results primarily reflect strong new customer growth and expanding deployments in our installed base. I want to remind investors that our Q1 '25 revenue included approximately $1 million of onetime favorable impacts. Without that benefit in Q1, our sequential growth would have been approximately 5% in Q2 of '25. Annual recurring revenue, or ARR, was $110.5 million, reflecting growth of 27% year-over-year. Remaining performance obligation, or RPO, as of June 30 was approximately $275 million compared to approximately $261 million as of March 31, 2025. This is a measure of the remaining contracted value of the long-term subscriptions we have with our customers. Adjusted gross margin was 55% in Q2 compared to 59% in the same period last year. This includes a noncash $1.8 million inventory reserve related to Express Gen1 parts. Excluding these reserve charges, adjusted gross margin would have been approximately 60%. For the remainder of the year, we expect adjusted gross margin to be in the 54% to 56% range, reflecting more in-house purchase fulfillment instead of distribution fulfillment, as John just mentioned. Additionally, we have won several very large education contracts deploying in the second half that include higher order volumes of eXpedite. Adjusted operating expenses, which excludes stock-based compensation, loss on impairment of equipment and certain other onetime expenses were $21.6 million compared to $26.7 million in the second quarter of last year. This 19% year-over-year decline reflects the actions we've taken over the last year to reduce spend and improve overall efficiency of the business. We are seeing early signs of the improving operating leverage in our business model. Adjusted EBITDA, which excludes stock-based compensation and other onetime items, was a positive $2 million in Q2 of '25 compared to a loss of $8 million in the second quarter of last year. This resulted in adjusted EBITDA margin of 6% in the second quarter of 2025. Turning to the balance sheet. Cash, cash equivalents and marketable securities increased $2 million sequentially to $37 million, up from $35 million at the end of Q1. This is the first quarter we have delivered a sequential increase in cash. This primarily reflected tighter inventory management, stronger overall collection activity, the timing of tax payments withheld for participants in our employee stock plans as well as insurance reimbursements for which we had previously accrued. Cash flow generated in operations was $2.1 million in Q2, improving significantly from the $21.6 million used in the same quarter last year. This is the best year-over-year increase in cash flow from operations by far. A couple of items bring to the attention of shareholders that occurred after the quarter ended. In July, we strengthened our balance sheet by securing a new $75 million non-dilutive credit facility, which we closed on and announced 2 weeks ago. This facility provides additional financial flexibility to support the increasing demand for our subscription-based sales model, which brings with it the highest level of ARR available among our various sales models. The facility includes a $60 million tranche term loan, $30 million of which was drawn at close with the remaining $30 million available for draw at our sole discretion over the next 2 years. It also includes a $15 million undrawn revolving credit facility. Both the term loan and revolver carry 5-year maturities. We think investors should expect interest expense of about $250,000 per month for the last 5 months of the year related to this credit facility. As John mentioned, last week, the parties involved in the previously reported securities class action lawsuit pending in the District of Massachusetts participated in the mediation and reached a settlement in principle in the amount of $15 million. This settlement is subject to negotiation of definitive documentation and court approval. Our direct financial exposure is expected to be no more than $1 million, which represents the retention under one of our applicable D&O insurance policies. Turning to our outlook for 2025. Given the strength of our first half results, the growing backlog and momentum we are seeing in the business, we are raising our expectations for the full year. We expect total revenue to grow by 27% to 30% in 2025 to be between $132 million and $135 million this year. This is up from our prior guidance, which called for revenue of between $125 million and $130 million. While we continue to believe that the long-term growth of our business will be driven by our pure subscription model, which maximizes ARR, several larger education market transactions expected to close in Q3 have a heavier direct purchase structure, which will drive more upfront revenue with lower near-term gross margin. While the direct purchase model carries this near-term gross margin headwind compared to the distribution purchase method, it delivers a stronger long-term outcome, both for the business and our shareholders given the higher ARR it generates. We expect adjusted gross margin to be in the range of 54% to 56% for the remainder of the year, not due to ARPU compression or competitive pressure, but because of our shift to in-house purchase fulfillment and the timing of several large education contracts involving high volumes of eXpedite, a newer product still scaling to full cost efficiency. In the second half of the year, IP license fees will be phased out as we transition back to the direct purchase method from distribution. With strong top-line growth and continued focus on expense management, we expect to deliver positive full year adjusted EBITDA in 2025 with full year adjusted EBITDA margins in the mid-single digits compared to our previous guidance, which called for margins in the low to mid-single digits. We remain on track to again be cash flow positive in the fourth quarter of 2025. With that, I'll turn the call back to Brian.
Brian Norris: Thank you, Chris. At this time, we'd like to open the call to Q&A. [Operator Instructions]
Operator: [Operator Instructions] Our first question will come from Jeremy Hamblin with Craig-Hallum.
Jeremy Scott Hamblin: Congrats on the strong momentum in the business. I thought I might start with just understanding in the back half of the year and really on a go-forward basis, what do you expect the mix to be of kind of the, let's call it, full subscription deals, the lease deals versus a purchase subscription deal that you're fulfilling in-house? What is the mix that you're expecting on that?
George Chris Kutsor: Jeremy, it's Chris. Thanks for the question. As you've seen, the business mix of product shift this -- the first part of the year it will depend in any one quarter or period of time you're looking on do we have a large order that could skew that mix in any single direction. We have been expecting to see more subscription over time, especially as we take down the distribution purchase method that we touched on a couple of times in the prepared remarks. So you should be seeing a longer-term shift towards more subscription. As we get into 2026, probably a little bit more balanced towards 50-50, but we'll talk more about that in the second half. Hopefully, that gives you some direction of what we've seen in the near-term and some of the things we have to consider in the mix do depend on some large deals in any particular period.
Jeremy Scott Hamblin: Understood. Helpful. And then I wanted to get an understanding, as you've gone through this new certified preowned program, repurposing the Gen1 Express machines. First, how much does it cost to refurbish those machines to make them CPO ready? And I wanted to get a sense for the traction that you're seeing on that program to help install -- because really, I guess it's about installing just more total units out there in your base.
John Kedzierski: Jeremy, this is John. So the program is brand new. We actually have released a brand name for it. It's called Evolv Flex, and that is where we redeploy units that were previously leased. In terms of refurbishment costs, we're doing our very best to keep those costs as reasonable as possible and make sure that we provide the experience for our customers that flex us and the experience that we want them to have. I'm pleased to say that we've received our first orders for the Flex program, but it's still early in the life cycle of that.
Operator: Our next question will come from Shaul Eyal with TD Cowen.
Shaul Eyal: Lots of great news, no doubt. Business is accelerating. What's the thinking with respect to hiring for the remainder of the year? And maybe as a follow-up, so the increase in revenue is highly notable when compared with prior quarters. Does it mean ARR accelerates for the remainder of the year? I know you don't guide to ARR, but I would imagine there could be some positive correlation here. Am I thinking correctly about it?
George Chris Kutsor: Shaul, this is Chris. I'll start and ask John to add any color. Maybe you asked about headcount, I think, and hiring through the rest of the year.
Shaul Eyal: Correct.
George Chris Kutsor: Probably we have been hiring in very targeted areas, R&D and some of our services teams. But it's in the low single-digit percentage- wise in terms of total headcount. Our total OpEx is approximately now where you should think about it through the rest of the year, although you could see a slight uptick for the SOX and automation investment that I talked about in Q1, if you remember, where that will ramp a bit in the second half. And there will be some additional targeted headcount adds in the second half, but nothing major.
John Kedzierski: And I'll just add a little color on the service organization. As we talked about in Q1, we have in-sourced the delivery of our field service. So that service hiring is us continuing to finish doing that work.
George Chris Kutsor: You also asked about ARR a bit, and I'll give you a little bit of color on that. You're right, we don't guide specifically on ARR. That said, you should expect ARR to, of course, lag or be less than the total revenue growth because of the IP license fees that we had in the first half. And there, of course, will be some purchase arranged deals in the second half that will just take away from the pure subscription, which would match revenue. So there will always be a gap in between those 2, naturally speaking. And quite -- maybe to wrap that up, that is largely dependent on customer purchasing requirements where they have to treat some as a CapEx or not, whether that's a government customer, whether that's a school, whether that's somebody else, that's largely driven by customer choice.
Operator: Our next question will come from Eric Martinuzzi with Lake Street Capital Markets.
Eric Martinuzzi: I wanted to address the renewals. I know you're early on in the renewal process with your installed base. But just curious to know if you've picked up anything as far as the -- either the gross renewal, the net revenue retention? What can you tell us about renewals?
John Kedzierski: Yes. Last quarter, we said that about 400 units will be up for a natural renewal in 2025. It's a natural expiration of their 4-year date. And we also talked about the FTC resolution and what we saw there with 237 units across 65 customers and a 94% net unit retention. To update on the 400 units, about 200 of those were actioned in the first half, 40 of which were actually from the second half. So the team is doing a good job moving ahead and derisking renewals. And because some of those customers also expanded, we saw a net unit retention of over 100%. I'll remind you that these numbers, 400, the 237, they're still relatively very small. We're talking about less than 5% of the units that we have out there. So we're focused on it and pleased on the early signs that we're seeing.
Operator: Our next question will come from Gareth Gacetta with Cantor Fitzgerald.
Gareth Daniel Gacetta: We're excited about the color you gave on the different end markets and definitely looks like there's some good momentum in education. I was wondering if you could just kind of give us some puts and takes as to where you might see the biggest opportunity in terms of end markets over the next year or so.
John Kedzierski: We like the diversity that we have across the verticals, education, sports and entertainment, healthcare, we talk about quite a bit. We also talked about some wins that we've had in industrial workplaces that we're pleased about and the fact that we have a pretty good vertical mix with overdependence in any one of those that I mentioned. And we hope to see that continue and see more opportunities come up. We're also looking at the office space market with some unfortunate events that have occurred, and we want to diversify as much as possible. We think our application is very horizontal in its solution for security use cases.
Gareth Daniel Gacetta: Great. And if I could just sneak in one follow-up here. On the new credit line, I guess, if you guys end up kind of driving this full service lease a little bit faster than you expect, could you see yourself pulling down that second draw of the credit line sooner than you might expect? Or just can you provide any color on when you might actually go and pull down that second part of the line?
George Chris Kutsor: Yes, you bet. Thanks for the question. Well, I would point you to the momentum in the business that we have right here in front of us, including being cash flow positive this quarter. That non-dilutive, I guess, alternative that we have with the debt facility does give us the ability and more horsepower when we need it. But that first $30 million, if you look at our business today, should serve us for a while. Yes, I wouldn't want to be talking too much on '26, '27 or other hypotheticals at this point.
Operator: [Operator Instructions] Our next question will come from Mike Latimore with Northland Capital Markets.
Brian Norris: Megan, why don't we see if there's any other callers that have a question, we can come back to Mike.
Operator: Not a problem. Our next question will come from Jeremy Hamblin.
Jeremy Scott Hamblin: I wanted to come back to the margin commentary. And in particular, look at the adjusted gross margin guidance for 54% to 56%. You noted kind of a shift in fulfillment, also some early fulfillment in the eXpedite product, which is still ramping on production. But can you give us a sense for as you progress through this shift in kind of full subscription and bringing everything in-house, how should we think about that gross margin evolving, no pun intended as we get into kind of a year from now?
George Chris Kutsor: Yes. Thanks, Jeremy. We're not going to guide on '26 just yet. You said something I just want to clarify. As things move from distribution purchase method to direct purchase method, we've talked a little bit about the puts and takes there on the near-term gross margin. But we still will be offering and expect a considerable amount of pure subscription all in for this business this year and forever into the future. And so I wasn't sure, first of all, if that was the intent of your question. But it is the factors that we mentioned before. The reason for the new range of adjusted gross margin of 54% to 56% is not from competitive pressure. It is the shift to more in-house and the mix of very large deals that we see coming in the second half that's coming with it. So I just want to make sure, hopefully, that's clear and answers your question.
Jeremy Scott Hamblin: No, that was definitely clear. Okay. And then just...
John Kedzierski: And Jeremy, I'll add one thing, as we continue to look in the future, we've talked about looking for the opportunities and seeing some in terms of driving the maximum value out of the business. Gross margin and gross profit would not be the same thing as we're focused on building ARR and compounding ARR.
George Chris Kutsor: Right. Because remember, as we shift, to John's point, as we move what was a distribution sale to a direct purchase sale, we get higher ARR on that. We get more revenue. It does come with a near-term, very near-term gross margin trade-off, but we get more gross profit dollars and it's positive NPV when you compare them. It also sets us up very well when we renew this quarter, 4 years down the road, it will be renewed at a higher rate. And that's why we're shifting this, a, because foundationally, we're in a better financial position; b, we have the debt facility if we were to need it, just related to the prior question. And lastly, it's the best net present value for the company and our shareholders all in.
Jeremy Scott Hamblin: In terms of the higher ARR, is it about 30% higher when you're doing those deals over the...
George Chris Kutsor: 30% higher.
John Kedzierski: Jeremy, it's substantially higher. I haven't disclosed the exact amount. In the distribution model, remember, the equipment never touches our books. Our channel partners purchase it directly from a disti. Now our channel partners are purchasing from us. So we see the entire revenue of the hardware and that purchase price in that hardware is slightly different. The delta that we saw in the values of the 2 deals, which is very significant, largely came out of ARR. So the ARR is substantially higher on the purchase subscriptions.
Operator: Our next question comes from Mike Latimore with Northland Capital Markets.
Unidentified Analyst: This is Aditya on behalf of Mike Latimore. Could you give some color on if you're seeing more interest from the California hospitals?
John Kedzierski: Healthcare continues to be a strong vertical for us as hospitals and hospital provider networks focus on both patient and healthcare worker safety. I see the -- we see the California legislation as a further tailwind and just more attention on the importance of workplace safety in the healthcare environment. We have secured some wins, healthcare wins in California, and we remain focused on that specific opportunity, just like we focus on healthcare overall across of the nation. I'll remind you that the time line for that legislative action ends out in 2027. That's how long hospitals have in California to meet those requirements. So we're going to continue to work with customers there [ indiscernible ].
Unidentified Analyst: Got it. And do you expect to see some demand internationally at some point?
John Kedzierski: We do see some international demand, and we do have a small but growing business in international markets, and we're spending time focusing on how we make our delivery international more efficient, so we could see the largely inbound demand that we get there today.
Brian Norris: Yes. International will continue to be an important part in our track to get to 8,000 units by the end of the quarter for sure. I think that was our last caller. So we're going to turn it back over to John for his final remarks.
John Kedzierski: Yes. So to quickly recap, we are delighted to report the solid Q2 financial results, highlighted by strong growth in revenue, ARR and RPO with 6% adjusted EBITDA margins and positive cash flow of $2 million. We're honored to add more than 60 new customers this quarter and to further support the significant expansions we are seeing across our existing customer base. We are proud to now be trusted security partner for over 1,000 customers globally and looking forward to having over 8,000 units deployed at year-end. Over the past few quarters, we focused on stabilizing the unit of the business, optimizing our cost structure and implementing enhanced controls and process improvements. More recently, we're pleased that DOJ informed us that the company is no longer the subject of a DOJ investigation, and we reached a settlement in principle with the class action lawsuit. We are seeing clear signs of momentum in the business, given the strength of our first half results, our growing backlog and our visibility for the remainder of the year. Based on that, we have raised our full year growth expectations. Looking ahead, our focus remains on building a durable, high-growth business with highly predictable results. We look forward to connecting with as many investors as possible during this outreach period and keeping you updated on our ongoing progress. Thank you, and have a good evening.
Operator: Thank you for joining. This concludes today's call. You may now disconnect.